Operator: Good morning and welcome to the Norwegian Cruise Line Fourth Quarter and Full-Year 2013 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) This conference call is being recorded. I would now like to turn the conference call over to your host Ms. Andrea DeMarco, Director of Investor Relations. Ms. DeMarco please proceed.
Andrea DeMarco: Thank you, Sam. Good morning and thank you all for joining us for our fourth quarter earnings call. I am joined today by Kevin Sheehan, our President and Chief Executive Officer and Wendy Beck, our Executive Vice President and Chief Financial Officer. Kevin will begin the call with opening commentary and Wendy will follow with more detail regarding the quarter and the year. Kevin will then proceed with some closing comments after which we will open the call for your questions. As a remainder, this conference call is being simultaneously webcast on our Investor Relations website at www.investor.ncl.com and will be available for replay for 30 days following today’s call. Before we discuss our results, I would like to cover just a few items. Our press release with fourth quarter and full-year 2013 results was issued this morning and is available on our investor relations website. I would also like to review information about forward-looking statements and the use of non-GAAP information as a part of this call. Some of our comments today may include statements about our expectations for the future. Those expectations are subject to known and unknown risks, uncertainties and other factors that may cause the company’s actual results and performance in future period to be materially different from any future results or performance suggested by these expectations. We cannot guarantee the accuracy of any forecast or estimates and we undertake no obligation to update any forward-looking statements during the quarter. If you would like more information on the risks involved in forward-looking statements, please see our SEC filing. In addition, some of our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and on our website. With that, I would like to turn the call over to Kevin Sheehan. Kevin?
Kevin Sheehan: Thanks Andrea and good morning everyone. Our call is a little bit later than we had wanted this quarter due to the SEC research restrictions to analysts from firms that participated in our latest follow-on offering in December. The restrictions have just expired allowing us coverage for the results for the quarter and the year, which Wendy and I will talk about in more detail later in the call. 2014 is off to an exciting start with the recent delivery of Norwegian Getaway with our builder Meyer Werft work essentially complete one month ahead of delivery, it gave us time to accelerate the training of our crew and today the ship is operating as if it has been in existence for several months, a well-oiled machine. After delivery we stopped in Rotterdam and in Southampton for travel agent events and we’re in the UK. We encourage our travel partners to bring the best customers, who were either new to cruising or had cruised on the other lines to introduce them to our unique product offering. The ship received [labor] views from guests and travel partners and the media alike. From Europe, Norwegian Getaway made a stop in New York City for an inaugural voyage for travel partners and guests. She remained docked in Manhattan and was converted to the Bud Light Hotel, which was held in conjunction with Super Bowl 48. There too she met with high praise from guests for the quality of the experience, the incredible accommodations and the excellent service from our crew. But I will talk a little more about Norwegian Getaway later in the call. Now I would like to turn the focus to a banner year that we are all extremely proud of. 2013 was a breakout year in Norwegian’s storied history. A year that resulted was a result of commitment and dedication not just from only our team members but also from our loyal travel partners and our guests. There is an excitement around the Norwegian brand that attracts those who want to be part of something special. Looking back the list of accomplishments this past year is quite impressive. First was a series of financial transactions that have strengthened our balance sheet and credit metrics. We began with our initial public offering in January, which was quickly followed by notes offering. Later in the year we completed two refinancing transactions with our lender group that resulted not only in improved rates and terms, but also included amounts that when coupled with the proceeds from our IPO and notes offering, allowed us to distinguish all of our higher rate debt, optimize our balance sheet, improve our credit metrics and substantially reduce our interest expense going forward. In addition, we completed two follow-on equity offerings in the year adding more liquidity in the marketplace for our shares. The second highlight of the year was the launch of the next new build after Norwegian Epic from what I term the new Norwegian Cruise Line. We took delivery of the 4,000-berth Norwegian Breakaway in April and have not looked back. She became an instant part of the skyline when she reached our home in New York City, and to date she has carried over a 170,000 passengers on voyages to Bermuda, the Bahamas and the Caribbean. She was an industry game changer from the moment she left the shipyard in Germany, with innovative features like the Waterfront and 678 Ocean Place along with New York touches like the fine dining venue Ocean Blue like Geoffrey Zakarian and Carlo's Bake Shop by TLC star Cake Boss Buddy Valastro. She truly is New York ship and we are proud to have her as the largest ship to ever home port in the city. While her dynamic hull art by Peter Max may be what captures everyone’s attention. Let’s not forget it's what's inside that counts, and what lies beneath the signature hull is a ship design to deliver impressive earnings power. Her varied accommodations and superior stateroom mix result in premium ticket pricing while her onboard offerings only enhance our industry leading onboard yield. While these accomplishments were significant, I'd be remiss to say that 2013 wasn't without its challenges. The industry faced several incidents throughout the year, the impact of which we are still feeling today. The environment has remained in a promotional state, but it’s a state to which we become accustomed. These challenges record us to be more flexible with our strategies, however, our results came in line with our expectations and we reported solid results including earnings above the guidance range we provided at the beginning of the year prior to these incidences. Looking ahead, we are optimistic as consumers continue their return to cruising, realizing that the amazing value proposition is above and beyond that of any other segment in the leisure sector. Looking at sailings in the first quarter, we kept our disciplined strategy of maintaining pricing while balancing load. As the quarter progressed, we have strategically adjusted our pricing to be more competitive where needed. Also keep in mind that while pricing surveys may service proxy of the environment at a point in time, the industry pricing is very complex and the survey should be framed in that context. Having said that, we are providing Q1 and full-year guidance consistent with last quarter’s call. But before getting too much into the coming year, I’ll turn the call over to Wendy and to go over the results for the fourth quarter and full-year.
Wendy Beck: Thanks, Kevin and good morning everyone. The following commentary unless otherwise noted compares full-year 2013 and 2012 on an as reported basis. Revenue for the year increased 12.9% to $2.6 billion from $2.3 billion on an increase in capacity days and net yield improvement. The 8.8% increase in capacity days came from the introduction of Norwegian Breakaway in April partially offset by Dry-dock for Norwegian Pearl, Pride of America and Norwegian Sky. Net yield for the period increased 4.3% or 4.2% on a constant currency basis from both strengthened ticket pricing and onboard spend, which increased 4.7% and 3.2% respectively in the year. Ticket yield improvement was particularly strong in Bermuda, benefitting from the addition of Norwegian Breakaway seasonal itineraries from New York, as well as our unique Hawaii itinerary. The year had some softness in Alaska, where the introduction of a third ship for the first time since 2009 was coupled with unique itinerary that took time for travel partners and guests to observe. Onboard yields were strong in the year from both the addition of the onboard revenue rich Norwegian Breakaway as well as strength in all major areas. Adjusted net cruise cost excluding fuel per capacity day increased 3.6% or 3.4% on a constant currency basis; primarily from incremental Dry-dock expense and expenses related to the delivery and launch of our new builds. Our fuel price per metric ton, net of hedges increased 1.7% to $675,000 while fuel consumption per capacity day decreased 3.3% from a mix of fuel saving initiatives as well as introduction of the fuel efficient Norwegian Breakaway. This brings our cumulative five-year consumption savings to 17%, a figure we expect to increase as further energy saving initiatives are implemented and we take delivery of newer more fuel efficient ships. While on the topic of fuel, we recently announced our most recent program for the installation of exhaust gas scrubber technology on an additional fixed ships in our fleet. Between 2014 and 2016, we will be installing scrubbers on Norwegian Breakaway, Dawn, Jewel, Gem, Pearl and Sun. We have received exemptions from the appropriate regulatory agencies to burn high sulfur bunker fuel until installed. These scrubbers carry a very attractive return on investment and reduced our sulfuring machines to comply with the upcoming eco-fuel standards. These scrubbers are in addition to those currently being completed on Pride of America, as well as our two new builds: Norwegian Escape and Bliss. Now going back to the P&L, net interest expense of $282.6 million including various charges related to financial transactions completed in the year. These transactions included prepayment of certain credit facilities and the redemption of certain of our high rate senior notes with proceeds from our initial public offering, our senior notes offering and refinancing transaction. These repayments and redemptions triggered redemption premiums and the write-off of deferred financing fees totaling $160.6 which ran through interest expense. Excluding these items, interest expense was $122 million in 2013, compared to $189.9 million in 2012. Adjusted net income for the full-year 2013, which excludes the aforementioned financial transaction-related expenses and other adjustments, increased 70.9% to $295.8 million from $173.1 million, while adjusted EPS increased 45.4% to $1.41 from $0.97 in 2012. These earnings compare favorably not only because they demonstrate healthy growth over prior, but they also exceeded our guidance given at the beginning of the year, well before we knew the extent of the impact of industry incidents. Results for the fourth quarter of 2013 mere those of the full year and are also impressive given the current environment with revenue increasing 19.3% on a 13.9% increase in capacity days and a 4.8% increase in net yield. Adjusted net cruise cost excluding fuel per capacity day increased 7.6% or 7.1% on a constant currency basis; primarily due to an incremental Dry-dock in the period and initial launch cost for Norwegian Getaway. In addition, while we accelerated certain scheduled repairs and maintenance that increase net cruise cost in the fourth quarter, as mentioned earlier, full-year net cruise cost was in line with full year expectation. Fuel price per metric ton net of hedges decreased 6.6% to $649 from $695 in 2012. Interest expense net in the quarter benefited from the financial transactions and refinancing activities completed earlier in the year, decreasing the $24.6 million from $47.7 million. The combined impact of improved yield, the addition of capacity and an optimization of our capital structure drove an increase in adjusted net income in the quarter to $40.5 million from $5.6 million and adjusted EPS of $0.19, up from $0.04 in 2012. Now looking to 2014, we have provided guidance along with associated sensitivities for both the first quarter and full-year 2014 in our earnings release. Unless otherwise noted, the following guidance metrics are both on an as reported and constant currency basis. For the full-year, net yield net yield is expected to increase approximately 4%, while adjusted net cruise cost excluding fuel per capacity day is expected to decrease between 1% and 2%. Full-year adjusted EPS is expected to be in the range of $2.20 to $2.35. Looking at the first quarter, net yield is expected to increase between 3.5% and 4%. Adjusted net cruise cost excluding fuel per capacity day is expected to increase between 2.5% and 3.5%. As always, I want to point out that net cruise cost is a metric that should be looked at on an annual basis. In this instance, while our first quarter net cruise costs are showing an increase due to timing of Dry-docks and inaugural cost. This trend will reverse beginning in the second quarter upcoming Dry-docks line up with those in the prior year and inaugural expenses are anniversaried out. And as such, we currently expect our adjusted net cruise cost excluding fuel per capacity day to decrease around 3% in the second quarter. Lastly, adjusted EPS for the quarter is expected to be in the range of $0.20 to $0.24. Deployment in the first quarter is 72% in the Caribbean and 17% in Europe with the balance in other itineraries. Looking at the full-year, deployment in the Caribbean is 48% while 21% is in Europe. Among other itineraries, we have 8% of deployment in Bermuda, 7% in Alaska, 7% in Hawaii with the balance in other itineraries. With that, I’ll hand the call over to Kevin for some closing comments.
Kevin Sheehan: Thanks, Wendy. As I mentioned earlier, the newest ship to our fleet, Norwegian Getaway has already made an incredible impression as we toured her around Europe and New York. A little over 10 days ago, she was christened at her new year-round home at the Port of Miami in a very exciting ceremony hosted by Brooke Burke host of the Dancing With the Stars and included a performance by Pitbull and the Getaway Godmothers, the Miami Dolphins Cheerleaders. Bringing Getaway home is significant on many levels. First, Norwegian Cruise Line, the company that started the modern cruise industry 47 years ago at that very port has now brought the largest shift to sale here year-round. Second, her arrival marks the first time in a decade that Norwegian offers a year-round seven days selling for Miami. and as I said before, the importance of this cannot be diminished as it provides a consistency of offering to both our guests and travel partners wanting to experience a Norwegian Cruise at any time of year from the cruise capital of the world. While challenges from 2013’s incidences are still lingering, we have incredible hardware and a unique product proposition that has delivered consistently across our 2013 Freestyle Cruising ships. and most importantly, we have an incredibly passionate crew that are looking forward to welcoming close to 2 million guests that will sail on a Norwegian ship in 2014 and offering them the vacation experience of a lifetime. With that, we’ll open the call up to questions. Operator?
Operator: Thank you, Mr. Sheehan. (Operator Instructions) Our first question comes from Tim Conder of Wells Fargo Securities. Your line is now open.
Tim A. Conder – Wells Fargo Securities LLC: Thank you. Kevin or Wendy, if you could appreciate all the color that you’ve given here in preamble, a little bit more if you would specifically, the premiums that you’re seeing on the Breakaway and Getaway versus the comparable amount of fleet for the Caribbean. and then Kevin, again, you’re referencing the new Norwegian fleet, anything you can talk about at this point or just broadly, directionally thoughts about additional ship orders looking to 2018 and beyond, and then how you would think about some of the older ships that are currently in the fleet?
Kevin Sheehan: Sure. That’s three things. so let me make sure I get them all right. I think everything is going with – let’s start with the Breakaway is going as expected. We knew first year in with a large ship in New York, so that we had to work harder, which we have and ship that is filling out nicely and when you look at the booking levels at this point, we are actually more focused today on Bermuda and optimizing that opportunity in that premium itinerary. So check the box, I think the Getaway is going to have another very good year and the pricing is in the zone it was last year as we look out at some of the initial sailings and the Bermuda sailings. And remember you had the very high pricing of the first couple of sailings. So nothing there that I would say is inconsistent with what we thought. The Getaway, it’s a little early to say and I think we’ve been having a consistent performance in the Miami market. The thing that we are to be honest more focused upon is that as you could imagine the Pearl and several of the ships are moving out of Miami as they reposition up into Alaska. The Epic moves over to Europe. So, the Getaway will continue to get a big halo effect on that ship and all of the unique product characteristics and experience. So, it just been a little bit to be honest more complicated with the environment that we have. As you know there is a lot of capacity in Miami, but it’s no different in anything else. And I think we talked last year about putting our third ship in Alaska and then last year it was – the first year the travel agents learning blaw blaw blaw and this year as we had expected it’s falling into place quite nicely. So, I don’t think anything from either of those ships is inconsistent with what our expectations were and we are still very excited about that. As far as the skipping to the last part, the older ships, we continue to keep our eyes open. The difference we have is that we have 13 ships growing to 15 and so that we don’t have a sense of urgency. Obviously there is a lot less ships than our major competitors and there is plenty of places to put those ships. And as you know we have been very cautious in putting them into new markets and wanting to stay in the build of a fairway as we build our business proposition with the very consistent execution. Having said that, we also keep our eyes open as to whether there are opportunities to maybe move an older ship out of the market and replace that capacity which segways into your middle question about 18 and 19. In a perfect world I would like to see Norwegian being as consistent as possible with growing rationally. And so right now the way we are looking at it is hopefully being able to figure out one of the older ships over the next year or two and then replacing that capacity with something build more consistent with the ships that we are building today.
Tim A. Conder – Wells Fargo Securities LLC: Okay. Just one other clarification point on the Breakaway, Getaway. Is it fair to say, you are still getting double-digit premiums, obviously with Breakaway, you will soon be starting to comp some pretty good premiums as you’ve eluded to.
Kevin Sheehan: When we comp Breakaway then it becomes more organic kind of pushing there. You are not going to continue to get a big spike above the pricing from last year on Breakaway. On Getaway, I would say, if you remember when we talked in the third quarter, this is very important point. The question came up as to as to how were we loaded for 2014. And we had said, we were consistently loaded for the second, third and fourth quarter and we said we were behind on the first quarter and hopefully everybody remembers that. To be honest, we are closer to being what we will ultimately play out in the first quarter. Our pricing at that point was up double-digit, and we were trying to send a messages saying guys, as an industry let's kind of keep our eyes open and let's smartly price, we're all going to end up filling our ships and blah blah blah blah blah. Unfortunately that didn’t play out, as a smaller player in the business, everybody needed to do what they need to do to fill their ship. So, as that period progressed into this quarter, we needed to adjust our pricing somewhat to get to the finished line. And I’m happy to say that the yields that you guys have heard from our guidance for the first quarter is still, I think going to be industry leading, but I think not as strongest it would have been. And that will plays into the mix of each of the ships and I think when you look at each ship, there were fits and starts alone away. But at the end of the day, I think the main punch line and the main headline guys is that we have announced that our guidance for the first quarter is I think very solid and we’ve announced what is bringing to the finished line the 60% growth that we had mentioned last quarter for our 2014 performance, which I think is really spectacular. So, it’s a little difficult to get too far into the weeds on the individual ships more than what we said, because we’re one brand. And then as you know, all of the competitors are listening in and they know exactly what we’re doing and trying to figure out everything out. And so I think from a straight of our business proposition, we try to just be a little bit less candid on some of the stuff, given the fact that we just have the one brand.
Tim A. Conder – Wells Fargo Securities LLC: Okay. Thank you sir, very much.
Kevin Sheehan: Thank you.
Operator: Thank you. Our next question comes from Robin Farley of UBS. Your line is now open.
Robin M. Farley – UBS Securities LLC: Thanks. For your yield guidance for 2014, I wonder if you could give a little bit of a color by trade, in other words, Caribbean versus Alaska, just to get a sense of what’s getting to – in Europe obviously, just to give us a sense of how it’s coming to that 4% of aggregate, just kind of ranges or ballpark or something?
Kevin Sheehan: I’m getting a lot of no’s here. So let me just say that what we had said last year and I think it is playing out nicely as you remember, a lot of the players moved ships out of Europe, we didn’t. and I think that’s playing out to be a smart strategy on our side. So we’re feeling pretty good about Europe, we’re feeling pretty good about Alaska. The Bermuda market is a solid market. Canada, New England is solid, the Panama Canal and of course, every year there is a market that you have to focus on. and we’re working our way through the Caribbean. And I think given the fact that we’ve provided the guidance we have told you how we feel about that.
Robin M. Farley – UBS Securities LLC: Okay. And you mentioned I think that your comment was about kind of late in Q4, how you felt that others maybe weren’t holding price as well kind of ending Q4. How are you feeling about that now, here two thirds of the way – two-way season, when you look at the competitive environment, do you feel like it’s improving or the same as how you felt it was in the Q4?
Kevin Sheehan: Yes. I think we’re starting to feel that things are settling a bit and starting to see a little bit of a glimmer of hope and a positive sign in the industry. Just remember, we are all relying on the great season and we’re all jumping into it. and I think in the very first couple of days, people were still on their vacations, so it didn’t start exactly as – but then it started to build in. And then I think as we get further into it, we’re starting to feel better about it. but it’s all as we said on the earlier part of the call; it’s very a promotional market. And so we’re working harder to do what we need to do to get to the place and we’re with great corporations and they’re doing the same sorts of things, everybody has got a different game chart and they’re all working towards the same end zone of delivering on their promise and we are as well. But I would say that we are feeling a little bit better about the wave that as we get through each week now.
Robin M. Farley – UBS Securities LLC: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Harry Curtis of Nomura. Your line is now open.
Harry C. Curtis – Nomura Securities International, Inc.: Okay. Can you just quickly touch on your where you’re seeing some cost deficiencies, are you simply spreading more births over relatively fixed costs, or are you actually seeing some ability to take cost out?
Kevin Sheehan: Yes, thanks. That’s a great question and appreciate it, because if there has been a lot of noise in the numbers and it’s not anything, but just taking the time to step back and look at the fact that we went through as you know in 2012, we didn’t have any Dry-docks in 2013. We had three. so now we’re on an apples-to-apples basis in 2014. Of course, there’s nuances in each quarter, like this quarter we have I think 19 days of Dry-docks versus last year, we had five or six with the Pride of America. So, there’s more Dry-docks in the first quarter of this year. So, that’s why the first quarter looks a little odd and of course, the Getaway inaugural like [indiscernible]. And then as you get through the year, you start to see the real drive. This company has consistently improved on the cost side of the equation without obviously sacrificing on the guest satisfaction. And so that’s a continuing lean management initiative. We have two teams that are working on that, one, on the ships and one, on the shore side. And it is a long, long process. I will tell you that I can see this continuing to be on the margin improving in our margins for four, five, six years. So just as an example, you go on a ship and you go to a department and you go through that department and you wrinkle out all of the inefficiencies and then you let it operate for few weeks or a month and then you come back and make sure that they continued to keep that process in place. And then once you perfected it on one ship then you go and you roll it out to. So, it’s not as easy as it would be if we were in one building and everything was done. So, I think that’s going to be a bleeding opportunity on the margin side of the years to come. I will tell you on the other side as you said, the new ships are very efficient and I mean I don’t want to say and I won’t get too specific. But we just finished our first sailing on Getaway and I was kind of blown away with the efficiency on the fuel, just for the week in fuel consumption. So, if that is an indication of where that’s going. That just another example of how the ships are just by default of the size and of the efficiencies that they are going to lead to margin improvement and you guys know that we have got a nice margin improvement in our year. So, it those sort of things and then it also got the top-line stuff that we are working on constantly and just redoing things, new deals arrangements and how we articulate to the guest the experience.
Harry C. Curtis – Nomura Securities International, Inc.: So, if you were to breakdown your cost line items a little bit more. Can you give us a sense of which line items you expect to move on a same birth, same ship basis move up versus where do you think you can probably expect some costs coming out.
Wendy Beck: Okay I'll jump in there. First off, I would say that levering our SG&A that’s pretty powerful with brining on these additional ships and they are being roughly double the size of our existing fleet. So, that’s the large one there. And then on all the different operating cost within the fleet, we continually go back and leverage as we bring in a new ship, how can we continue to buy fuel, repair the maintenance, any type of item you name it, we’re looking at how can we buy smarter and gain more efficiencies.
Kevin Sheehan: Yes. I want to understate Wendy said about the SG&A costs, because we are really looking at that as being the drop through. And as you know, we grow X% in the year on the revenue and we’re very watchful of that to make sure that we’re getting the efficiencies and we talked about in prior quarters about some of the departments where we went through and did the [indiscernible] events on that we actually landed on having the same or maybe even one or two people left, because of the technology solutions in eliminating inefficiencies, even despite the fact that we’re heading 17% or 18% in capacity. The other thing too is that we had also point out that I think is kind of subtly into the improvements that we will continue to feel. We are taking the learnings from the ships and the digital signage that we have in the new ships and pushing that back to the old ships. We talked about in the past about the Churrascaria. Recently we accidentally announced that we were taking the Oceans Pub and putting that on all of the ships and any of the Epic, the Getaway or the Breakaway know that that is the heart and soul of the ship and that it's got a pulse well into the early morning hours. So taking and solving for the atrium that’s kind of not the excitement of the new ships, say as an example, Jewel-class ships. To me, it’s going to really make it all work and then putting the Churrascaria right next to the [indiscernible] is more logical to our guests, because now it will be on all of our ships, the kind of the restaurants are in the same sort of location. So, we think a lot of these on the margin are just strengthening not only the onboard revenue, the efficiencies and strengthening the existing ships.
Harry C. Curtis – Nomura Securities International, Inc.: That’s very helpful, guys. Thanks.
Kevin Sheehan: Thanks.
Operator: Thank you. Our next question comes from Felicia Hendrix of Barclays. Your line is now open.
Felicia Hendrix – Barclays Capital, Inc.: Thanks, good morning. Kevin, just wanted to go back to something that you mentioned in response to Tim’s question earlier. Just your comments that just you talked about last quarter, you made some comments about where you were loaded for this year. So, you said first quarter kind of, I don’t want to talk about first quarter so much, because you gave guidance. But you said you’re consistently loaded for the second and through fourth quarters. I’m just wondering is that still intact?
Kevin Sheehan: Yes, I would say for the back half of the year truly is the second quarter, we’re in a period right now that I think we lost a little bit of ground but not anything to be concerned about and we've got a lot going on right now. So, I’m comfortable we’re in the right place for each of the quarters based on the strategies that we have in place here and the momentum in the way we laid out our programs and promotions et cetera. Yes, so I didn’t mean to overstate that. Yes, the first quarter if it had played out it was going to be a pretty spectacular first quarter from a pricing standpoint and I think it will still be as I said a very solid quarter and it will be ticket and probably more moderate when you look at it relative to load. So it will be more in the ticket side as opposed to improving the load.
Felicia Hendrix – Barclays Capital, Inc.: And then when you talked about the promotional environment, is that just one competitor, is that multiple, is that industry wide? Can you just comment on that a little bit more?
Kevin Sheehan: Well, I think it’s industry wide and just listening to the ride-in this morning and listening to commercials from MSC’s new shutdown here and over the players, they’re all air and one of the players who hasn’t been on TV is on TV right now. and very nice commercial, I think it’s just a very complex time with a lot of promotional activity and again, we think we have the solution to work our way through those numbers that we have guided everyone to, and I think that’s as much as – if things change and get a little less competitive, that would be hopefully a positive for us, but based on where we see it right now that’s what we gave this guidance.
Felicia Hendrix – Barclays Capital, Inc.: That’s helpful, thank you. And then just on your last call, you mentioned that your organic pricing was up about 2.5% to 3%, I’m just wondering if that impacts?
Kevin Sheehan: I’m sorry…
Wendy Beck: On comp fleet…
Kevin Sheehan: Yes, actually, that’s actually a very positive. but we’re trying not to get into too much of the nuances on the specifics to be honest, because it really gives away everything for our company. but we are pleasantly surprised. when we rolled up the budget, the organic guys came in right where we needed them to be and it wasn’t like the normal budget those of you have been in company as you know how it’s like you got to go through every line-by-line. This was the one of the first times to me that the organic guys came in, in a comfortable place and we’re doing fine with them. So for whatever that’s worth, we’re not getting too much color.
Felicia Hendrix – Barclays Capital, Inc.: Thank you. That’s very helpful. And just finally, a housekeeping, just when do you give your guidance suggested net cruise cost fuel of down to 1% to 2% in 2014, is that percentage change half of the adjusted net cruise cost ex-fuel results or the actual, so is it off the down 7.6% or down the – off the down 10%-ish?
Wendy Beck: It’s off the adjusted.
Felicia Hendrix – Barclays Capital, Inc.: Okay, okay, helpful. Thank you.
Wendy Beck: Thank you.
Operator: Thank you. Our next question comes from Patrick Scholes of SunTrust. Your line is now open.
Patrick Scholes – SunTrust Robinson Humphrey: Hi, good morning. I wanted to get some updated thoughts on your potential expectation for capital allocation once you reached your target leverage levels?
Kevin Sheehan: Yes, it’s the same. I think we’re listening to our shareholders. We’re looking towards the end of the year and saying, hey at some point, in and around that time period, we need to be responsive and I think it would not be productive for us to be paying off 1.5% or 2% debt, it would be much more thoughtful for us to be redistributing. And I think the shorter-term solution or answer would be that we would probably very carefully do some stock acquisition. if the selling shareholders are still the puzzle, maybe, we could marry with that at the appropriate discounts or whatever. And then at some point, as we get on our feet so to speak from a liquidity standpoint and strengthen and strengthen and strengthen. Then when we know we never will ever have to look back, then we probably started dividend that I would say that that probably would be at least a year later than the first step with the share repurchase.
Patrick Scholes – SunTrust Robinson Humphrey: Okay, got it. I appreciate the more detailed color on that.
Kevin Sheehan: Thanks.
Operator: Thank you. (Operator Instructions) Our next question comes from Steven Kent of Goldman Sachs. Your line is now open.
Steven E. Kent – Goldman Sachs & Co.: Hi, good morning. So just a couple of questions, first, can you give us any sense, people have tried to get at, there’s a couple of different ways as to close-in bookings or is there a broader pricing or better pricing as people get closer in? Also on the onboard spend, Kevin, can you give us some sense of how much of it is pricing and new offerings, versus the change in consumer sentiment. And then finally, I think a part that I struggled the most with your story is that your product does seem to better and I mean I think you’ve shown that a couple of different times, you are impacted by the pricing initiatives of some of your competitors. And I’m just trying to figure out when or how you start to get away from that or what allows you over time to distinguish yourself more on the pricing?
Kevin Sheehan: The last part, Steve’s great. I appreciate you asking that. And we are obviously waiting for that moment in time and when you look back at the last six years. This is my sixth anniversary. And from the oil price skyrocketing and the economy downturn in Europe and everything under the sun that has happened over this last six years, it’s not been and I don’t know maybe it doesn’t ever, I shouldn’t say that way, but we have not had a reasonably good period without something out there that distracts the value of this fantastic experience well for the whole industry and you got guys that we compete with, have spectacular assets as well. And I think we are all waiting for that time. I do think that when the world gets a little bit more healthy from and consumers have a short memory and we hope that if we can keep the industry focused on the merits of the value of the cruise and all of the fascinating family opportunities etcetera, etcetera. That we think that we will start to see that and it’s unfortunate, but it is what it is. And we can only come in every single day as you know our team works like crazy and we look at the game plan at every single day and we say, how do we adapt, how do we adjust, but we are waiting for that opportunity. So, I will let you know as soon as we feel a little bit of strength. And I think you’ll start to see, when we all start to say we're booked really solidly. I think as you know, when we talked into 2012 we felt like we were great in a position, same thing in 2013 and we are waiting and I’m going to keep my fingers crossed as we get into 2014, we are going to be in a really solid position. You know what I think as from an intellectual standpoint the stress and all the stuff you are feeling in one year becomes the opportunity and the next I think each of the companies coming through this as they are showing that they are becomes more of the strength of this cruise experience in 2015. So, that becomes pretty hopeful to me. As far as the onboard revenue, we really haven’t changed pricing and it’s really the further penetration as its really more communication and I think that’s an area that as a company have some opportunities to continue to strengthen. But the more clarity that you provide because I think it’s critical that our guest understand that they can have the experience on our ships, where they don’t need to spend anything and they can come and go to the complementary restaurants. But we also want to make sure we lay out appropriately the opportunities to come and have this fantastic experience by buying our ultimate dinning package. It’s a $119 for a 7-day cruise. And then you are able to go to Cagneys one night, La Bistro another night and just really have a very different kind of experience. So, the more we communicate, the more we lay those things out more appropriately on our website the better off I think that’s stuff will be leading improvement as we move forward. But we have not really raised prices on anything at this point.
Steven E. Kent – Goldman Sachs & Co.: Okay, thanks.
Operator: Thank you. Our next question comes from Steve Wieczynski of Stifel. Your line is now open.
Steven M. Wieczynski – Stifel, Nicolaus & Co., Inc.: Yes, good morning guys.
Kevin Sheehan: Hey, Steve.
Steven M. Wieczynski – Stifel, Nicolaus & Co., Inc.: Kevin the decision to move Epic out of Miami and take that over to Europe, is that more of a decision about concerns about the Caribbean or is that more of a decision of you still think you are a little bit underpenetrated in Europe and you feel there is a better opportunity there?
Kevin Sheehan: Well, I think when we announce all of the itineraries it will be better, it will be clear to you as far as – I don’t think we are doing anything on the leading edge from the capacity standpoint in Europe. The thing that plays out for us with the Norwegian Epic and as you remember the ship was designed as kind of a ship that actually played out very, very well to the European consumers. We get great ratings over there. It’s a great experience for the Americans that go over to Europe. So, it just plays out very strong as a ship that just stands on. The Epic is just continues to exceed the expectations I have as far as, it books well, it gets great ratings, and people are happy coming off in such a fantastic experience. I think it’s going to play well in Europe. And I think we are cautious about our capacity any single market but that kind of was the next logical step for us. When you think about the inefficiencies of taking the ship back and forth on a 11-day sailing on these Transatlantic that don’t drive great ticket prices and then as you can imagine when you get past the 7-day itinerary, the onboard revenue starts to slow and even the demographics on those ships don't lend themselves to high demographic as it is. So, when you take into consideration that 20 days or 25 days of back and forth each year and then think about how you can make that a driving force for our proposition as winning the best cruise line Europe by World Travel Awards six years in a row. I think it matches up very well.
Steven M. Wieczynski – Stifel, Nicolaus & Co., Inc.: Okay great. And the second question with Breakaway. I don’t know how much you will be able to say about this. If you look a little bit further out later into this year, are you starting to see any pressure due to the city introduction of competitors coming to New York market.
Kevin Sheehan: If you are referring to the guy that’s coming into Jersey, no, we’re not at this point – I think it’s a little early. I think they’ve done a good job of marketing their new assets as each of these – each of our competitors does. But I think those are huge markets, I think the more that there is a focus on new ships into a market; the more people will take notice. and I think at the end of the day, it is always going to be a little give-and-take as you put a ship into a new market. But over time, I learned this lesson very early from one of my competitors who said Kevin, when we bring a new ship in, it’s a little bit that first year and then the second year comes into its own. I didn’t fully understand that in the beginning, but I do now. And I think that’s the same as the other guys bring in new ships into New York. We’re very confident with what we have in New York and I think the competitive advantage of being able to take a taxi to the west side and all that goes along with that keeps us in, I think a good position.
Steven M. Wieczynski – Stifel, Nicolaus & Co., Inc.: Great. thanks, Kevin.
Kevin Sheehan: Thanks a lot.
Operator: Thank you. Our next question comes from Assia Georgieva of Infinity Research. Your line is now open.
Assia Georgieva – Infinity Research: Good morning, guys. First question is in terms of your thinking as to Q3 yields, load factors, pricing expectations at this point it is – understand a difficult quarter to call, given these in comparisons in mid-April and early May of last year. But in general, without really, necessarily giving ranges, could you, Kevin or Wendy give us some sort of a feel for how that quarter is developing and whether you’re being very cautious on that?
Kevin Sheehan: I don’t think, we are cautious on anything to be honest. I think 30 years in a public company, we call it as we see it and I will tell you, I think the third quarter, I hope what you are saying plays out and if it does, we’ll feel better as we get further and further into the next say, 30, 60 days. The other thing that’s a factor too is the Northeast and the Midwest has been inundated with snow and completely beyond normal levels. And we are having this debate and conversation as to whether we think – everybody is looking the snow birds that want to come down and get away from it for the spring break or something. but I don’t think – I think it’s taken everybody’s mind off the summer break. So I think we’re cautiously optimistic that, because of those two different things that this will play out over there. and I think we have a better way of – a better explanation as we report our first quarter earnings that we have a little bit more clarity.
Assia Georgieva – Infinity Research: And I guess my question stems from the fact that for Q1; you are offering yield guidance pretty much in line with the fiscal year. And given these in comparisons, I would have expected that the full year outlook might be a little bit higher than Q1 where you had a pretty tough comp, given that last year’s wave was very strong, early on.
Kevin Sheehan: Yes, I’m not sure I follow that. but I think for us to be talking about a yield guidance at approximately 4%. We’re already leading by far in the sentiment in the industry. And I think we’re very comfortable that that’s a good place to be right now.
Assia Georgieva – Infinity Research:
Kevin Sheehan: The…
Wendy Beck: I got it.
Kevin Sheehan: Okay, the scrubbers…
Wendy Beck: Yes. So the scrubbers are intended to be installed in Dry-dock other than on the Norwegian Breakaway that won’t be going to Dry-dock during that timeframe.
Assia Georgieva – Infinity Research: Okay. so you can do it while the ship is operating, same with moving some of the restaurants like Cagneys et cetera. On some of the older vessels, you can do it while the ships are operating?
Wendy Beck: That’s correct. Yes, we can, but to the extent, we can do it while it’s in Dry-dock, that's always preferential.
Kevin Sheehan: Yes, as you look at our Dry-docks in this year, they staged very well into getting the – that work done.
Assia Georgieva – Infinity Research: Sure, it makes sense. And last question, should we expect net cruise cost ex-fuel to go up in Q4, because of Dry-docks?
Wendy Beck: No, it’s going to go down in each of the three remaining quarters for the year.
Assia Georgieva – Infinity Research: Great, thank you, Wendy and thank you, Kevin as well.
Kevin Sheehan: Thanks. And thanks everyone for your support, your time and we look forward to next quarter and to go around if anybody has the additional questions. Thanks so much everybody for taking the time today.
Operator: Thank you, sir. This concludes today’s conference call. You may all disconnect. Everyone, have a wonderful day.